Operator: Thank you for standing by, ladies and gentlemen, and welcome to Euroseas Conference Call on the First Quarter 2024 financial results. We have with us Mr. Aristides Pittas, Chairman and Chief Executive Officer; and Mr. Tasos Aslidis, Chief Financial Officer of the company. [Operator Instructions] I must advise you that this conference call is being recorded today. Please be reminded that the company announced their results with a press release that has been publicly distributed.
 Before passing the floor over to Mr. Pittas, I would like to remind everyone that in today's presentation and conference call, Euroseas will be making forward-looking statements. These statements are within the meaning of the federal securities laws. Matters discussed may be forward-looking statements, which are based on current management expectations that involve risks and uncertainties that may result in such expectations not being realized.
 I kindly draw your attention to Slide #2 on the webcast presentation. which has the full forward-looking statement, and the same statement was also included in the press release. Please take a moment to go through the whole statement and read it.
 And now I would like to pass the floor over to Mr. Pittas. Please go ahead, sir. 
Aristides Pittas: Good morning, ladies and gentlemen, and thank you all for joining us today for our scheduled conference call. Together with me, Tasos Aslidis, our Chief Financial Officer. The purpose of today's call is to discuss our financial results for the 3-month period ended March 31, 2024.
 Let's turn to Slide 3 of the presentation. to go over our income statement highlights. For the first quarter of 2024, we reported total net revenues of $46.7 million and the net income of $20 million or $2.87 per diluted share. Adjusted net income for the quarter was $18.5 million or $2.66 per diluted share. Adjusted EBITDA for the period was $24.6 million. A reconciliation of the adjusted net income and adjusted EBITDA to net income is shown in the press release. Our CFO, Tasos will go over our financial highlights in more detail later on in the presentation.
 As part of the company's common stock dividend plan, our Board of Directors declared again a quarterly dividend of $0.60 per common share for the first quarter of 2024, which will be payable on or about June 21, 2024 to shareholders of record on June 14. The annualized dividend yield based on the current share price is again above 6%. This is the ninth consecutive quarter of paying meaningful dividends.
 As of May 23, 2024, we had also repurchased 400,705 of our common stock in the open market for a total of about $8.2 million since the initiation of our share repurchase plan of up to $20 million, which was announced in May 2022. We will continue to use our share repurchase program at management's discretion depending on our stock price to enhance our ability to drive long-term shareholder value.
 Please turn to Slide 4, where we discuss our recent sales and purchase, new building, chartering and operational developments. On the S&P front, we have agreed to sell Motor Vessel Astoria, a 2,800 TEU feeder containership vessel built in 2004 for approximately $10 million to an unaffiliated party. The sale capitalizes on the current strong asset prices, and we will log a significant profit next quarter when the deal closes. The vessel is expected to be delivered to her new owners by mid-June 2024.
 The delivery of our fourth Newbuilding vessel from the series of 9 took place on April 25. Motor Vessel Leonidas Z, a Newbuilding fuel efficient 2,800 TEU feeder container ship was chartered with HAPAG-Lloyd, one of the largest line of companies for a period of about 2 years at a daily rate of $20,000 a day. This charter is expected to contribute about $9 million of EBITDA for the contracted period, and increases our 2024 charter coverage to about 88%.
 Moreover, the delivery of the fifth vessel took place on May 13 when Motor Vessel Monica, a fuel-efficient 1,800 TEU feeder vessel was chartered for a minimum period of 10 to a maximum period of 12 months at the option of the charter at a daily rate of $16,000 per day.
 Continuing on the charter side, our Aegean Express, our smallest and oldest vessels was fixed for a minimum period of 7 to 9 months at $8,000 a day starting from March 23 after 3 days wait, while Motor Vessel Synergy Antwerp was fixed for a minimum of 11.5 months to maximum of 14 months at $26,500 per day starting immediately upon the delivery from the shipyard where it underwent its normal dry docks and retrofit. And this new charter starts from April 2, 2024. Finally, Motor Vessel Joanna was just extended for a minimum of 2 to maximum of 3 months with current charters at $13,500 per day.
 Regarding dry dockings, our Motor Vessel Synergy Oakland underwent its scheduled special survey for approximately 18 days. Our Motor Vessel Marcos successfully completed its scheduled 31-day dry dock, which included the retrofits worth about $1.8 million. As in the case of the recent retrofit of Motor Vessel Synergy Busan, we cooperated closely with the charter to fund the modifications of the vessel and serve the economic benefit from the improved performance. The charter is contemporaneously declared the option to extend the charter by an additional minimum 7 months until August 2025.
 The other retrofits resulted in an improvement of consumption in the commercial speed range by about 25%. As per our agreement with the charterer, if the vessel is employed after the current charter period, then the owners will refund part of the cost to the charter up to a maximum of 50%. The motor vessel Synergy Antwerp, as I said, also successfully completed a scheduled 30-day dry dock. As part of our efforts to minimize our carbon footprint, [ C2 ] underwent $1.25 million retrofit.
 Next, please turn to Slide 5 for an update on our current fleet profile. Our current fleet is comprised now of 22 vessels in the water the 15 feeder container ships and 7 intermediate container carriers with the total carrying capacity of just under 66,500 TEU and another with the age 8 to 15 years weighted by TEU.
 Turning to Slide 6. Here, we show our 4 remaining vessels under construction with deliveries expected throughout 2024. The fourth Newbuildings have a total carrying capacity of 9,200 TEU and they include two 2,800 TEU vessels and two 1,800 TEU vessels. After the delivery of its 4 remaining feeder container ship newbuildings in 2024, Euroseas fleet will consist of 26 vessels with a total carrying capacity of about 75,000 TEU.
 Let's now turn to Slide 7 to see the vessel employment graphically. As you may see, we have a very strong charter coverage throughout the next 2 years, with about 88% of our fleet being fixed for 2024 and about 32% for 2025. Our significant charter coverage and profitable rates for the remainder of the year suggest highly profitable quarter that will further enhance our fleet liquidity throughout 2024 and 2025.
 Let's turn to Slide 9 for a broader market review, starting with the development of the 6- to 12-month time charter rate over the last 10 years. During the first quarter and extending into mid-May 2024, containership charter rates have shown a robust recovery, surging significantly from the low levels at the start of the year across all segments. As of May 17, 2024, the 6- to 12-month charter rate for the 2,500 TEU containership stood at $19,500 per day which is higher than the historical medium of $9,200 per day, about double, and well supported when compared also with a 10-year average of about $15,500 per day. The comparisons to median and average rates are similar across the smaller and larger container sizes as well.
 Moving on to Slide 10. We go over some further market highlights. As mentioned, 1 year time charter rates improved across all segments in the first quarter. and charter rates have increased by approximately 73% to date since the low of December 21, 2023. The current increase is mainly attributed to the tensions in the Red Sea and consequent through diversions. The full impact of the rerouting is yet to be seen, though, as these geopolitical issues are still evolving.
 As said before, charter rates since the end of the year have increased by over 70%. Average daily rates increased by 26% over the average of Q4 2023 during the first quarter of 2024 and as can be seen in the table below across all container segments. The vast increase in rates during May 2024 is primarily due to the routing from the Red Sea. The average secondhand price index show an increase of about 11% during the first quarter of 2024 compared to the fourth quarter of 2023.
 Oil prices of course, continue to lag significantly behind the peak levels seen in 2022. They are above the average levels observed before the COVID-19 pandemic. The newbuilding price index increased by about 7% in the first quarter compared to the previous quarter. Newbuilding prices continue to stay elevated due to cost inflation and extended yard forward cover. Although there has been some easing in newbuild contracting from the exceptional high levels witnessed during COVID-19, it remains relatively firm amid continued appetite from liner companies with excess cash, renewing their fleets with alternative fuel vessels.
 As of May 6, 2024, the idle fleet, excluding vessels under repair, stands at just 190,000 TEU, accounting for 0.7% of the total fleet. This marks a decline from its peak of about 800,000 TEU just 1 year ago, with the downward trend observed since then. In 2024, up to now, 23 vessels accounting for 33,000 TEU have been scrapped. We expect demolition activity to increase slightly in the remainder of 2024 after a number of quieter years due to -- which was due to the higher charter rates. Although the current political disruptions may continue to limit scrapping at the end.
 In the first quarter of 2024, scrapping prices softened slightly to approximately $540 per lightweight tonne, remaining though above the average observed in 2019 by about 30%. Overall, the fleet continues to grow, having expanded by about 4% year-to-date without accounting, of course, for idle vessel reactivation.
 Please turn to Slide 11. The IMF latest update from April 2024 projects that the global economy will see another year of slow yet steady growth, raising the forecast from 3.1% to 3.2% in 2024. This growth rate is expected to continue into 2025. This is largely due to a sizable improvement in the economic outlook for the United States, offset by a more modest slowdown in emerging and developing economies.
 The forecast for the next 5 years is at its lowest in decades at 3.1%. The global economy has been surprisingly resilient despite significant central bank interest rate hikes to restore price stability. Indeed, global inflation is declining steadily and is projected to lower from 6.8% in 2023 to 5.9% in 2024 and 4.5% in 2025, with the advanced economies returning to their inflation targets sooner than emerging markets and developing economies. Most banks now anticipate that the 3 federal reserve rate cuts that were projected by the end of 2024 will be reduced to 2 or 1 due to this persistent inflation.
 During this quarter, the IMF upgraded significantly Russia's 2024 growth forecast to 3.2% from the 2.6% projected in January 2024 due to the continued strong oil exports amid higher global oil prices, despite the price cut mechanism imposed by Western countries, as well as due to strong government spending and investment related to [ war ] production, along with higher consumer spending in the tight labor market. The IMF also upgraded Russia's 2025 growth forecast to 1.8% from 1.1%. It seems that the Western sanctions are not working. 
 For shipping, we continue to monitor China's economy closely, which is relatively to the past struggling by the enduring downturn in its property sector. The Chinese economy is forecasted to grow by just 4.6% in 2024 and 4.1% in 2025. China's economic growth may further intensify due to trade tensions in an already weakened geopolitical environment, and therefore, stability may take even longer to be restored. On a more positive note, though, growth in India is projected to remain strong at 6.8% in 2024 and 6.5% in 2025 with robustness reflecting strong domestic demand and rising working age population. Similarly, the ASEAN-5 economies are expected to grow quite strongly thus assisting shipping.
 According to Clarksons forecast, containership trade demand is expected to significantly increase from the 5.5%, which was previous projections, to 9.2% now. However, a decrease of 2.4% in trade demand is now projected for 2025. This latest forecast assume about half a year more of disruption to container trade due to Red Sea rerouting, uplifting TEU mile demand to about 11% currently and 5% overall for the full year.
 Panama Canal impact are less severe. The demand estimates have allowed for some additional transpacific trade volumes being shipped to the U.S. West Coast rather than the East Coast, given the restrictions of the Panama Canal currencies. This is generally though a much smaller impact than the Red Sea disruption. And of course, a longer than assumed crisis in the Red Sea will likely result in significant higher demand growth.
 Please turn to Slide 12, where you can see the total fleet age profile and container ship order book. The containership fleet is relatively young with most vessels under 15 years old and only 10% of the fleet over 20 years old. The largest percentage of which though lies within feeder vessels, suggesting high potential recycling for this type of ship. As of April 24, 2024, the order book as a percentage of lead stands at around 21%, reduced from close to 30%, which we saw last year.
 Turning on to Slide 13. We also go over the fleet age profile and order book for ships in the 1,000 to 3,000 TEU range. These sizes of vessels are the backbone of our operations and the primary focus of our newbuilding program. The order book here stands at 6.8% as of May 24, 2024. According to Clarksons, new deliveries are projected to be approximately 8% this year, 1.9% in 2025 and 0.7% in 2026 and beyond, suggesting that after 2024, we will have minimal deliveries in 2025 and 2026. With over 50% of the fleet being over 15 years old, these favorable fundamentals suggest an anticipated reduction in fleet size in the coming years.
 Let's move to Slide 14, where we discuss our outlook summary for the containership market. The container shipping markets have significantly strengthened since last December due to the rerouting of vessels away from the Red Sea in the Gulf of Aden. The rerouting has had a substantial impact on the supply-demand balance as more vessels are unaffected, East West services are now taking longer alternative rules. Consequently, demand for ships has increased, boosting fleet utilization by more than 10%. Freight rates have surged and charter rates have significantly risen and continue to climb indicating a host to the previous softening trend, at least for now. The Contex index has increased by 73% since December 21.
 For the remainder of 2024, we anticipate a strong market to continue until geopolitical issues ease. However, the substantial new vessel supply is expected to gradually take over and lead to lower rates. Despite this, the potential risk of a full closure of the Strait of Hormuz although it has minimal impact on containers. And the ongoing disruption in the Suez Canal and Red Sea continued to affect vessel activity in the shipping market.
 The Red Sea security crisis shows no signs of resolution, and the Israel/Iran crisis could further exasperate the situation. If geopolitical tensions ease, we anticipate a softening in container rate in charter markets, driven by the accelerated capacity growth. Conversely, if these tensions persist, the extended period of vessel rerouting would support higher charter rates.
 Looking ahead to 2025, if geopolitical issues are resolved, supply and demand fundamentals would likely lead to a softening of the market. The extent of this softening will depend on the development of the geopolitical situation, but if conditions normalize, the significant fleet expansion could result in a substantial decline. In any event, market conditions will remain challenging. Market performance will be sensitive to capacity management, vessel speeds and various inefficiencies, such as congestion that could alleviate some of the pressure.
 Also, the energy transition has continued to gain momentum in the containership sector. Whilst it is evident that the shift is taking place, the long-term outcome remains uncertain. One thing is sure, though, the spread between charter is achieved by eco-vessels will increase further as charters will become more sensitive to greener transport options.
 Let's move to Slide 15. The left chart shows the evolution of 1-year time charter rate to containers with a capacity of 2,500 TEU since 2015. One-year time charter rates are far below the peak in early '22, but as previously mentioned, have earned back lost ground to stand at $19,500 per day above historical average and median rates.
 The right-hand chart illustrates a historical range for newbuild and 10-year old secondhand containership to the capacity of 2,500 TEU. Recent data shows a rebound from year-end prices with value still remaining significantly higher than both the historical levels and median levels. Newbuilding prices for containers of this size currently stand at $41.25 million, whilst the historical average of median rise for new buildings of this size for the last 10 years is $33.7 million and $31.5 million, respectively.
 For the 10-year-old, secondhand vessels of this size, prices currently stand at around $23 million, while the respective historical average or median prices are approximately $17 million and $13 million, respectively. Given these persistently elevated prices, we are hesitant to pursue further acquisitions unless they can be paired with charters that will reduce residual values at expiration to below the historical medium.
 And with that, I will pass the floor to our CFO, Tasos, to go over our financial highlights in further detail. 
Anastasios Aslidis: Thank you very much, Aristides. Good morning from me as well, ladies and gentlemen. Over the next 4 slides, I will give you an overview of our financial highlights for the first quarter of 2024 and compare those results to the same period of last year.
 For that, let's turn to Slide 17. For the first quarter of 2024, the company reported total net revenues of $46.7 million, representing an 11% increase over total net revenues of $41.9 million during the first quarter of 2023. We reported a net income for the period of $20 million as compared to a net income of $28.8 million for the first quarter of last year.
 Interest and other financing costs for the first quarter of 2024 amounted to $3.2 million as compared to interest and other financing costs of $2 million for the same period of 2023. This increase is due to the increased amount of debt we carry and the increase in the SOFR rates of our bank rates in the current period as compared to the same period of last year.
 In the first quarter of 2024, our interest figures are reduced by the capitalized imputed interest of $ 5.4 million and due to the self-financing of the predelivery payments for our Newbuilding program as compared to $1.1 million of [ acute ] interest during the same period of last year. Finally, interest income in the first quarter of this year amounted to $0.55 million compared to $0.23 million in the same period of 2023.
 Adjusted EBITDA for the first quarter of 2024 was $24.6 million compared to $26 million achieved in the same period of last year. Basic and diluted earnings per share for the first quarter of this year were $2.89 and $2.87, respectively, calculated on approximately 6.9 million basic and 7 million diluted weighted average number of shares outstanding compared to basic and diluted earnings per share of $4.11 and $4.10 for the first quarter of 2023, calculated in turn an approximately $7 million base in diluted weighted coverage number of shares outstanding.
 Excluding the effect on the income for the quarter of the unrealized loss or gain on derivatives, the amortization of below market time charters acquired the depreciation charge due to the increased value of vessels acquired with below market time charters and for the first quarter of 2023, the gain on the sale of a vessel, the adjusted earnings per share for the quarter ended March 31, 2024, would have been $2.67 and $2.66 per share, basic and diluted, respectively, compared to adjusted earnings of $3.10 and $3.09 per share, basic and diluted, respectively, for the first quarter of 2023. Usually, security analysts do not include the above items in the published estimates of earnings per share.
 I would like to mention here that during the first quarter of 2024, we have 3 drydockings, 2 of which included, as Aristides mentioned, retrofits in order to improve the carbon footprint and future earning capacity of the vessels that these dry docks resulted in increased drydocking expenses for the period and loss of proportionately more revenue days as compared to either the first quarter of last year or the previous quarter. These investments influenced, obviously, our earnings per share this quarter but will be reversed in subsequent periods.
 Let's now move to Slide 18 to review our fleet performance. We will start our review by first examining the utilization rates during the first quarter of this year as compared to the previous year. As usual, our fleet utilization rate is broken down into commercial and operational. During the first quarter of 2024, our commercial utilization rate was 99.8%, while our operational utilization rate was 99.9% compared to 98.1% commercial and 97.6% operational for the first quarter of last year. On average, 19.6 vessels were owned and operated during the first quarter of 2024, earning another time charter equivalent rate of $27,806 per vessel compared to 17.1 vessels in the same period of 2023, earning on average $29,231 per day.
 Our total daily operating expenses, including management fees, G&A expenses, but excluding drydocking costs, were $7,963 per vessel per day for the first quarter of this year compared to $8,074 per vessel per day for the first quarter of 2023. If we include our interest expenses, drydocking expenses and loan repayments, our cost for flow breakeven rate per day during the first quarter of 2024 was $17,170 per day versus $14,160 during the first quarter of last year, the difference being due, as I mentioned earlier, to the increased drydocking expenses during the quarter.
 Finally, if we look at the very last line of this slide, we can see the common dividend expressed in dollars per day per vessel that we paid that -- we paid in the 2 periods. For the first quarter of 2024, that amounted to about $2,328 per vessel per day, while for the same period, totalized gear  amounted to $2,271 per vessel per day.
 Let's now move to Slide 19 to review our debt profile and our forward cash flow breakeven level. As of March 31, 2024, a our total debt amounted to approximately $148.6 million. The chart at the right of the -- at the top left of the slide displays our current debt repayment schedule for the next 4 years. As you can see, 2024, we made loan repayments totaling $ 9.4 million in the first quarter of this year, and we expect to make an additional $ 25.7 million in the remaining of the year for a total of about $ 35 million.
 In 2025, our projected loan payments are around $19.9 million, along with balloon payments of $17.6 million, while in 2026, our loan repayments are expected to amount to about $13 million with no balloon payments due. Please note that these figures include repayments from the 2 loans we drew in the second quarter of 2024 to partly finance the acquisition of our recent deliveries, Leonidas Z and Monica from our newbuilding program. They do not include repayments for approximately another $100 million of debt we expect to assume to partly finance the next 4 remaining newbuildings from our newbuilding program.
 A few words now regarding the cost of our debt as of the end of the last quarter. The average margin was 2.29% and assuming a SOFR rate of around 5.31%, the cost of our senior debt as of March 31 was approximately 7.6%. If we further include the savings from certain interest rate swaps we have for a portion of our debt, the overall cost of our debt is reduced to about 7.34% as approximately 13% of our debt carries a base SOFR rate of around 3.4%.
 I would like to draw your attention now to the bottom of this slide where we present the level and components of our expected cash flow breakeven for the next 12 months and so various cash flow breakeven levels. First, our EBITDA breakeven level is $7,645 per vessel per day. If we add to that interest expenses and loan repayments, our overall projected breakeven level over the next 12 months is expected to be around $13,653 per vessel per day.
 Let's sum up now our presentation of the financial figures by moving to the next slide, Slide 20, to review some highlights from our balance sheet. Our assets mainly include cash and other current assets, advances for our vessels under construction and of course, our vessels in the water, their book value. As of March 31, 2024, we had cash and other current assets amounting to about $70.2 million, advances that we paid for our newbuilding program of about $87.7 million, and vessels with a book value of around $308 million, resulting in net total book value for our assets of about $466 million.
 On the liability side, our debt, as I mentioned, as of March 31 stood at $148.6 million, which represents approximately 32% of the book value of our assets. We had also other liabilities like the fair value of our below-market acquired charters representing about 1.4% of our assets and other liabilities totaling about $ 20.4 million or 4.4% of our total assets, resulting in a net book value for our shareholders of about $291 million or about $41 per share.
 However, I think it's important to highlight here that the market value for our fleet significantly exceeds its book value. We estimate that the charter adjusted value of our fleet to be in the range of $309 million to $395 million which translates to a net asset value for the company of $385 million to $ 390 million or around $54 to $55 per share. Our closing price yesterday was just under $37, a level at a significant discount to our NAV and thus, representing a considerable appreciation potential for our shareholders and investors.
 With that, I'd like to turn the floor back to Aristides to continue the call. 
Aristides Pittas: Thank you, Tasos. Let us now open up the floor for any questions. 
Operator: [Operator Instructions] Our first question is from Tate Sullivan with Maxim Group. 
Tate Sullivan: Starting with the cash commitments for the newbuilds yet to be delivered and the 2 that were already delivered this quarter. You said you're adding $100 million, I think I heard, in debt to finance a newbuild. What's the remaining newbuild commitment for the payment schedule? 
Anastasios Aslidis: The remaining, I think I can make a quick estimate. I believe we have paid about $87 million before. I think it would be roughly about $20 million. I can get you a more exact number, but I think roughly about $20 million would be the equity commitment. 
Tate Sullivan: Okay. So total of $120 million. Okay. And then for the contracting the new builds and then sincerity, you contracted the Monica already for $16,000. And then can you talk about the stuff in the [ 8-K ], what do you still expect to get that before the end of the quarter? Should we expect a similar new build rate or if you could decide to go longer term, could it be lower than that $16,000 daily rates? 
Aristides Pittas: I think that we will be able to fix something which is very similar to this level. We would like to fix around a year's time. We will see. We are talking with some charters, and we will know relatively soon. 
Tate Sullivan: And just logistics, you start to get paid on the contracts for newbuilds right when they exit -- upon exiting the shipyard, is that correct based, on your previous... 
Aristides Pittas: Correct. 
Tate Sullivan: Okay. And then to Tasos for the financing for the newbuilds, will you secure the financing upon delivery? Or do you -- will you get financing for the installment payments for the remaining? How would you manage that? 
Anastasios Aslidis: We financed -- we pay the installment payments ourselves, and we arrange it delivery financing. Usually, we are in the financing of the vessels at delivery a month or more in advance. For example, next 2 vessels that we expect to take delivery of our already financed, as we announced already. The last 2, we haven't completed our financing arrangements yet. 
Operator: [Operator Instructions] Our next question is from Kristoffer Skeie with Arctic Securities. 
Unknown Analyst: I was wondering if you could provide some color -- on more color on the ongoing charter discussion with us to open vessel days in '25 and into '26, are you seeing a lot of interest for covered fixing by liners and with regards to that as the duration on these discussions changed in recent months? Are you seeing sort of a site or a longer charters rather spot rate has bounced back? 
Aristides Pittas: Yes. We currently don't have many ships opening up soon. other than this newbuilding vessel that will take delivery in about 1.5 months time. So there's not too much to fix at this point. The market, though, is definitely improving. We've seen that we fixed our 2,800 TEU ship at around $20,000 a day about a month ago for 2 years. And now we've seen similar ships being fixed to $25,000 a day. So the market is firming up, periods available are increasing and there is a continuous increase in the market.
 How long this continues, it's very difficult to say. The liners would fix ships that open up within the next couple of months, but not -- they wouldn't offer anything really competitive for ships opening up 6 months from today. And therefore, we're not really active in trying to find something today. 
Operator: And our next question is Tate Sullivan with Maxim Group. 
Tate Sullivan: A follow-up, sorry. You announced the sale of the Astoria in April for $10 million, the 20-F indicated a cost of the carrying value of 3.95. Did that change? Or are there other considerations for the implied gain on that sale for this current quarter? 
Anastasios Aslidis: I think that would be -- that's correct. The difference of the minus commission expenses or whatever would be the implied capital gain on sale. 
Operator: [Operator Instructions] And we do have a follow-up from Kristoffer with Arctic Securities. 
Unknown Analyst: Can you just comment on what you're seeing in terms of sort of interest on potential divestments. I mean, you sold the one in April as previously mentioned. Are you considering to reduce or exposure or reduce your fee by divesting the vessels? 
Aristides Pittas: We are considering what -- we guess what to do with the older vessels as the charters expire. And we haven't taken any decisions yet. But of course, the levels which initially we thought that we would be needing to scrap at the end of the lucrative charters that we had secured for all of them. Today, the market is better. So we are considering the options that we have of reselling them or keeping them and rechartering them, and we will develop our strategy as things move on. 
Unknown Analyst: Okay. Good. And in terms of our useful life, what do you see as a sort of typical useful life on these vessels now? 
Aristides Pittas: Well, technically, even though we have the issues with the CII and the EXI and all these new requirements. Technically, the ships can still easily last till their 25th year. And by selling at a little bit slower speeds, they do satisfy the requirements. So it's more of a commercial decision to decide what to do with them. rather than the technical decision. So if that means that the charter rates are satisfactory, we can easily keep them for longer. 
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to Mr. Pittas for closing remarks. 
Aristides Pittas: Well, thank you all for listening in to our results of this quarter. We will be back to you in 3 months' time. Bye. 
Anastasios Aslidis: Thank you, everybody. 
Operator: This will conclude today's conference. You may disconnect your lines at this time, and thank you for your participation.